Operator: Greetings, and welcome to the Heartland Financial USA, Inc. Fourth Quarter 2020 Conference Call. This afternoon, Heartland distributed its fourth quarter press release and hopefully, you have had a chance to review the results. If there is anyone on this call who did not receive a copy, you may access it at Heartland’s Web site at htlf.com. With us today from management are Lynn Fuller, Executive Operating Chairman; Bruce Lee, President and CEO; and Bryan McKeag, Executive Vice President and Chief Financial Officer. Management will provide a brief summary of the quarter and then we will open the call to your questions. Before we begin the presentation, I would like to remind everyone that some of the information management will be providing today falls under the guidelines of forward-looking statements as defined by the Securities and Exchange Commission. As part of these guidelines, I must point out that any statements made during the presentation concerning the company’s hopes, beliefs, expectations and predictions of the future are forward-looking statements, and actual results could differ materially from those projected. Additionally, information on these factors is included from time-to-time in the company’s 10-K and 10-Q filings, which may be obtained on the company’s Web site or the SEC’s Web site. At this time, I would now turn the call over to Mr. Lynn Fuller at Heartland. Please go ahead, sir.
Lynn Fuller: Thank you, Valerie, and good afternoon. Welcome to Heartland’s fourth quarter 2020 earnings conference call. We appreciate everyone joining us today as we discuss the company’s performance for the fourth quarter of 2020 and for the full year. For the next few minutes, I'll touch on the highlights for the quarter. I'll then turn the call over to Heartland’s President and CEO, Bruce Lee, who will cover business performance and our COVID-19 response. Then Bryan McKeag, our EVP and CFO will provide additional color around Heartland’s results. Also joining us today is Nathan Jones, EVP and Chief Credit Officer who will be available to answer questions regarding credit. Bruce Lee and Bryan McKeag will share with you the many things we are doing to support, protect and care for our employees, customers, shareholders and communities. So now onto the financial highlights for 2020 and the fourth quarter. Well, I'm very pleased to report that based on all the challenges of 2020, the continued low interest rates, state shutdowns and the overall impact of the pandemic, we still had a very good year. Fourth quarter net income available to common shareholders was 37.8 million or $0.98 per diluted common share. Net income before our preferred dividend was 39.8 million, a 5% increase over 12/31/2019. For the full year 2020, net income available to common shareholders was 133.5 million and earnings per diluted common share was $3.57.  Annualized return on average tangible common equity was 12.77% and the annualized return on average assets was 0.92%. Our tangible common equity ratio ended the quarter at 7.81% as a result of the two acquisitions totaling 2.3 billion in assets. Bryan McKeag will provide more detail on our capital ratios.  The net interest margin on a fully tax equivalent basis at 3.55% for the quarter was unchanged from the prior quarter. And Bruce and Bryan will share more detail in their comments on margin. Book value and tangible book value per common share continued to increase, ending the year at $46.77 and $32.07, respectively. Now that's a 9% increase over 12/31/2019. Also during the fourth quarter, 12 million of the 17 million in loan loss provisioning was tied to our 2.3 billion of acquired assets, and Bryan McKeag will expand more on our provision for the quarter. Well, with respect to the balance sheet, assets reached a new record high at 17.9 billion and we achieved growth across all categories for the year. Assets were up 4.7 billion. Net loans were up 1.7 billion. Investments were up 2.9 billion. Non-deposit maturities, which we’re focused on, up 3.9 billion and equity was up 501 million and our efficiency ratio at 56.65% was down 9% for the year. Moving on to M&A. As we discussed last quarter, we closed on our largest acquisition ever, the AimBank transaction in West Texas. AimBank merged with and into Heartland’s Lubbock, Texas-based subsidiary. With this acquisition, First Bank and Trust is now Heartland’s largest bank, with over 3 billion in assets. The system's conversion is set for mid February. In 2021, we are forecasting approximately 34 million in after tax income from Aim, which includes two-thirds of our 12 million in after tax cost saves. This transaction is approximately 10% accretive to EPS. Also in early December, our Arizona Bank & Trust Bank in Phoenix, Arizona completed its purchase and assumption of the four Johnson Bank Phoenix branches. Our simultaneous close and first time ever virtual conversion went extremely well, adding approximately 416 million in deposits, 151 million in loans and 235 million in assets under management to Arizona Bank & Trust’s trust department. This transaction took Arizona Bank & Trust total assets to over 1.5 billion. And in 2021, we're forecasting approximately 6.5 million in after tax income from these branches. This transaction is approximately 5% accretive to EPS. Well per our M&A strategy, we continue to prioritize both in-market and larger acquisitions. Acquisitions contribute to a number of companywide goals. In-market acquisitions provide greater cost saves and cost takeouts in synergies and create greater market dominance for our member banks. Currently, Heartland member banks have achieved top 10 deposit market share in 26 of our 38 MSA and top five deposit market share in 12 of our 38 MSAs. Acquisitions have significantly increased our asset size and earnings base. The increased asset size from accretive acquisitions, combined with Operation Customer Compass’, more efficient and scalable operating platform significantly contributed to the lowering of our efficiency ratio. As I've said in the past, our priority has been to expand in our current footprint and work toward our goal of 1 billion in assets in each state where we operate. Currently, 10 of our 11 banks have assets exceeding 1 billion and we continue to have a deep pipeline of attractive prospects with a number of active opportunities. Now for the 10% increase in our quarterly common dividend. At this month's meeting, Heartland’s Board of Directors approved a $0.22 per common share dividend payable February 26, 2021 to shareholders of record on February 12, 2021. Through many recessions, including the Great Recession and now the pandemic, we've had 40 consecutive years of increased or level quarterly dividends, a record beyond many of our peers. The Board also approved our preferred dividend of $175 payable on April 15, 2021 to preferred shareholders of record on March 31, 2021. Now, before I transition comments over to Bruce, I want to highlight a recent addition to the Hartland Board. Christopher S. Hylen will serve as an independent director on the Hartland Board of Directors. With more than 25 years of technology and business leadership experience, Chris is a high-caliber executive who brings a special depth of knowledge and perspective to the Hartland Board. We will benefit from his executive level leadership, his vast experience in using technology to enable extraordinary client experiences and his laser focus on delivering value to clients and shareholders. I'll now turn the call over to Bruce Lee, Heartland’s President and CEO who will provide an overview of the company's operating performance, COVID-19 response and credit. Bruce?
Bruce Lee: Thank you, Lynn. Good afternoon. As I look at the strong results from our fourth quarter and the year as a whole, I'm once again reminded how proud I am of the teams across Heartland in each of our member banks. We have demonstrated our commitment to serving our customers and communities while prioritizing the health and safety of our employees. It's their strength and resiliency that allowed us to endure challenges and positioned us for growth in 2021 and beyond. I have said throughout the pandemic that Heartland would emerge stronger than before, and we're doing just that. We continue to drive down costs through disciplined execution of strategic initiatives, improved processes, and by leveraging scale. We completed two acquisitions that further diversified our assets and increased our presence in important growth markets of Phoenix and West Texas. With these two acquisitions, over 60% of Heartland’s assets are now in the West and Southwest regions where we see the greatest economic growth in the U.S. With our strategic focus on growth, expense discipline, geographic footprint and proven M&A track record, we are uniquely positioned to prosper in a rapidly evolving and consolidating financial services space. In the fourth quarter, Heartland’s total assets grew to $17.9 billion, an increase of 2.3 billion in the quarter, primarily from acquisitions. Assets grew 4.7 billion or 36% for the year. Efficiency ratio for the quarter was 54.93, our lowest ever for the fourth quarter and 538 basis points lower than a year ago. For the year, efficiency ratio was 56.65, 585 basis points lower than 2019 and exceeding our own high expectations. Our ability to drive efficiency, while strategically investing for growth and enriching the customer experience, continues to differentiate us. We delivered another strong quarter of deposit growth organically and through acquisitions. Total deposit ended the quarter just below $15 billion, an increase of 2.2 billion from the linked quarter. This includes 2.1 billion of deposits acquired at fair value in the AimBank, in Johnson Bank branch transactions. Excluding these acquired deposits, total deposits increased $127 million from the linked quarter and $1.8 billion or 17% for the year. Non-time deposits totaled 13.7 billion, an increase of 1.9 billion or 17% during the quarter. Excluding acquisitions, non-time deposits increased 191 million or 2% from the linked quarter. For the year, non-time deposits increased 3.9 billion or 39%. Excluding acquisitions, non-time deposits increased 2.1 billion or 21%. Our deposit mix remains enviable, with 38% in non-interest bearing accounts and 92% in non-time account balances. Our disciplined deposit pricing has reduced total deposit costs to 14 basis points for the quarter, down 47 basis points from 61 basis points in the fourth quarter of last year. Turning to credit metrics. I am pleased to report that we continue to see stable credit quality. Non-performing loans represented 88 basis points of total loans at the end of the quarter, a slight decrease from 89 basis points in the linked quarter. Non-performing assets as a percentage of total assets also decreased to 53 basis points from 55 basis points in the linked quarter. Other real estate increased to 6.6 million from 5.1 million in the linked quarter, primarily due to assets acquired in the AimBank acquisition. Our delinquency ratio remains below the most recent five-year average, despite an increase of 6 basis points from the linked quarter to 23 basis points. Non-pass rated loans increased from 8.7% in the third quarter to 10.8% in the fourth quarter, a combination of acquired non-pass loans and some downgrades in the legacy portfolio. The ratio remains at a relatively low level. Substandard loans decreased to 44% of total non-pass loans compared to 47% for the previous quarter. Lastly, net loan charge-offs for the quarter were $216,000 or 1 basis point compared to 21.3 million or 92 basis points in the linked quarter. We believe that the two previous charge-offs from large commercial borrowers in the third quarter were an exception and these metrics reinforce that. We continue to work closely with our customers, and if necessary, we'll take proactive steps to help them stabilize their positions. We are pleased with the overall credit portfolio, remain cautiously optimistic in 2021 based on how our portfolios performed in 2020, and are encouraged by the prospects for an additional round of government stimulus and the continued rollout of COVID vaccines. Turning to commercial. Excluding PPP-related loans, organic growth was up slightly from the linked quarter. We saw fourth quarter organic loan growth in owner occupied real estate of 99 million, non-owner occupied of 43 million and commercial and industrial of 44 million, creating strong momentum for 2021. Construction declined $155 million, largely due to shifts to owner occupied and non-owner occupied real estate. Including acquisitions, our commercial loan portfolio increased by 8% for the year and 14% from the linked quarter. Our remaining portfolios, including acquisitions, agriculture increased 206 million, residential mortgage increased 139 million, and consumer loans increased 29 million for the linked quarter. Heartland is proud to have helped nearly 5,000 small businesses obtain loans during the first draw of PPP, helping provide a critical lifeline in our communities. Six member banks were top 10 PPP lenders in their respective markets. And we are actively participating in the second draw that opened to our banks on January 19. We've already received more than 1,200 second draw applications as of today. In the PPP first draw, we only accepted applications from current customers. Based on our successful execution in the first round, we're extending our reach for the new program. In addition to current customers, we will offer PPP loans to high priority prospective clients, in minority owned and underserved commercial prospects, providing an opportunity to build new relationships, demonstrate our capabilities and serve our communities. In the third quarter, the SBA began to process PPP forgiveness applications. As of mid January, more than half of our borrowers had submitted forgiveness applications, representing $688 million of our 1.2 billion in PPP loans, excluding acquisitions. About 1,500 loans have already been forgiven and funded by the SBA. Investments we've made in Customer Compass, our multiyear strategic initiative, have enabled commercial teams at each of our banks to process applications efficiently and faster using our best-in-class sales force CRM and Encino platforms. Overall, we've seen a 30% decrease in the time from loan application to funding, improving speed to market and the customer experience. In December, we closed the AimBank acquisition, making First Bank & Trust Heartland’s largest bank with more than 3 billion in assets and the fifth largest bank in the thriving West Texas market. We're scheduled to complete system conversion in February. Also in December, Arizona Bank & Trust completed its acquisition of Johnson Bank’s four banking centers in the Phoenix market. The close and simultaneous conversion raised Arizona Bank & Trust assets to 1.5 billion, enhancing its already strong foundation. I am thrilled to welcome AimBank employees to First Bank & Trust, Johnson Bank employees to Arizona Bank & Trust and both teams to Heartland. These strategic acquisitions in growth markets have provided scale, added talent and created the opportunity to bring new products and services to existing AimBank and Johnson Bank customers. We will also consolidate three AimBank branches based on proximity to existing branches in their respective markets. Consumer behaviors have changed and through early investments in Operation Customer Compass, we can provide customers the in-person and digital options they want to interact with us. In-branch transactions have decreased 35% from pre-COVID levels. We've seen a steady rise in the use of our mobile and online banking platforms, increasing 16%. We installed more than 100 new ATMs in the second half of the year. Small business customers have appreciated the enhanced deposit capabilities and overall ATM deposits have increased 35% in the previous quarter. Given this ongoing shift to digital, we continue to rationalize our branch footprint to more efficiently serve our customers. We consolidated three branches in 2020 and will consolidate five more this month, plus three AimBank branches. An additional 10% of our branches are under review. We continue to operate under our pandemic management plan with employee and customer health as our top priority. Our banks are open for business and we're providing our customers with the high level of service they value from our banks. Employees who can work from home do so, while those who come into bank locations and offices are on rotating teams to limit potential exposure. Heartland’s diverse geographic footprint continues to be a strength during the pandemic. Our banking centers are serving our customers in lobbies, drive-throughs and by appointment. We’ll continue to adapt to local conditions and are confident in our ability to operate in this environment as long as needed. 2020 was a year when many in our communities were in need and Hartland provided $1.5 million of financial support. In April, we contributed $1.2 million to organizations responding to challenges created by COVID-19. In October, we donated more than $260,000 to high needs schools in our markets, providing teachers money to purchase technology, supplies and materials to help students learn in a safe and healthy environment. These dollars and our employees’ volunteer hours made a meaningful difference and enriched lives in our communities. Lessons learned in 2020 will serve us, our customers and our communities well. The strategic investments we began making in 2019 allowed us to pivot, act quickly and meet the challenges of the past year. We established new ways to collaborate and connect with each other and our customers. We deepened existing relationships, established new ones, and remained focused on the customer experience. We lowered our costs, delivered new digital capabilities, improved our speed to market and continue to invest for the future. We are optimistic and well positioned for growth in 2021. We are open and ready to serve our customers and communities as they emerge from the pandemic. Now I will turn the call over to Bryan McKeag, Heartland’s Chief Financial Officer for more details on our performance and financials.
Bryan McKeag: Thanks, Bruce, and good afternoon. I'll begin today with an overview of earnings per share, which was reported at $0.98 this quarter. This quarter includes three significant items. First, a provision for credit losses of 11.9 million was recorded for purchased non-credit deteriorated commonly called non-PCD loans and unfunded loan commitments acquired in the AimBank and Johnson branch transactions. Second, acquisition and integration costs of 2.2 million were incurred related to these acquisitions. And third, we recorded 4.6 million of additional fee income in conjunction with the forgiveness of approximately 20% of our PPP loan balances during the quarter. Excluding these items, Heartland’s earnings per share would have been $0.20 higher or $1.18. So again, this quarter core earnings were strong. Before I go into my detailed comments, I want to remind you that our updated fourth quarter investor presentation is available in the IR section of our Web site. So I'll start my comments with the provision for credit losses, which totaled 17.1 million this quarter and includes the previously mentioned 11.9 million provision on non-PCD loans and unfunded commitments in our two acquisitions. The remaining 5.2 million of provision related to the legacy bank and reflects the following components. First, legacy loan balances, excluding PPP, in total declined 91 million and unfunded commitments declined 65 million in the fourth quarter. Second, we continue to have some legacy loan downgrades and had a small increase in reserves for non-accrual loans. Third, consensus economic forecasts continued to show modest improvement. However, the economic outlook factors and components used to develop the allowance were not changed, as it is Heartland’s assessment that a significant level of economic uncertainty remained at year end. And lastly, net charge-offs were minimal this quarter at 216,000. Heartland also booked a $12.3 million increase directly to the allowance for loan losses for the purchase credit deteriorated or again referred to as PCD loans in our two acquisitions. In total, all the items I just mentioned resulted in a reserve build of 29.2 million for the quarter that was primarily related to acquired loans. So at quarter end, the allowance for credit losses on loans was 131.6 million or 1.31% of total loans. And the allowance for credit losses on unfunded loan commitments was 15.3 million or 16 basis points of total loans. Together, these two allowances result in a total allowance for lending related credit losses of 146.9 million or 1.47% of total loans. When the PPP loan balances are excluded, the total allowance for lending related credit losses stands at 1.62% of loans. In addition, at year end, we had amortized purchase loan valuations on our balance sheet totaling 33.2 million or 37 basis points of total loans, excluding PPP. Moving to the rest of the balance sheet. Investments grew 1.2 billion this quarter, primarily due to acquisitions and now comprise 35% of assets with a tax equivalent yield of 2.38% with a duration of just under six years and generate 65 million of average monthly cash flow.  Borrowings decreased 206 million to end the quarter at 625 million or 3.5% of assets. At year end, our banking network had approximately 4.1 billion of unused borrowing capacity. The tangible common equity ratio declined 22 basis points to 7.81% at year end. Excluding the 57 basis points decline from our two acquisitions, the ratio would have increased 35 basis points and remained well over 8%. Heartland’s regulatory capital ratios also remained strong with common equity Tier 1 at just over 10.9% and total risk based at just over 14.7%. So Heartland’s growing balance sheet continues to be strong and well positioned. Moving to the income statement. Net interest income totaled 132.6 million this quarter or 10.1 million higher than the prior quarter. The net interest margin on a tax equivalent basis this quarter was 3.55% or flat compared to last quarter, as a 16 basis points decline in investment yield was offset by 20 basis points increase in loan yield and a 4 basis point drop in net interest costs. The increase in loan yield was driven by the recognition of an additional 4.6 million of fees on PPP loan forgiveness, as I previously mentioned. This quarter, the net interest margin includes 10 basis points of purchase accounting accretion, which was unchanged from the prior quarter. In addition, we exited the year with approximately 19.3 million of unamortized PPP loan fees remaining on our books. Net interest income totaled 32.6 million for the quarter, up 1.4 million from last quarter, as the gain on sale of loans declined 1.8 million on lower seasonal mortgage loan activity, while total security gains increased 1.5 million compared to last quarter. In addition, service charges were $1 million higher this quarter, primarily reflecting one month of run rate from our new acquisitions. Shifting to non-interest expense. Non-interest expenses remained well managed, totaling 99.3 million this quarter, up 8.9 million largely due to our new acquisitions. When excluding acquisition, integration, restructuring and tax credit costs and asset gains and losses, Heartland’s core expenses increased $6 million to 92.6 million compared to 86.6 million last quarter. This increase primarily reflects one month of runway costs from our new acquisitions. The one specific expense line item I would mention is losses on assets which totaled 2.6 million this quarter and primarily relate to write downs on several branches as part of Heartland’s ongoing branch optimization program. As this program continues to progress, we may have additional branch write downs over the next several quarters. So as we exit 2020 and look ahead to 2021, we believe Hartland is well positioned to deliver strong results next year and we’ll provide the following comments regarding 2021. First, loan growth rate, ex PPP, is expected to be in the mid single digits with lower first half growth and then more robust growth in the back half. A modest deposit growth rate in the low single digits is expected with higher first half growth from government stimulus, and then some run off in the second half. The remaining round of PPP forgiveness will happen largely in the first half of 2021. The new round of PPP is yet to be determined. However, we're off to a good start, as Bruce mentioned. The NIM, ex PPP, will have some modest pressure. However, with higher fee income continuing on PPP forgiveness in the first half and higher purchase accounting accretion, net interest margin is projected to be slightly under the current all-in TA rate, tax adjusted rate that is and be in the 3.5% range for next year. Provision for credit losses are not expected to exceed 35 million, assuming a firming economy in the second half of 2021. Mortgage banking income is expected to decline by 15% year-over-year. Deposits and service fees are expected to increase over 20% next year due to recent acquisitions and the recovery from a poor first half in 2020. Wealth and brokerage fees are expected to show mid single digit percentage growth. Core expenses are expected to increase to $104 million to $105 million next quarter, reflecting the full quarter of our new acquisitions. And then conversion and all cost saves realized in the second quarter will fall to the $102 million to $103 million range and then settle into the $101 million range thereafter. On a full year basis, we expect the efficiency ratio to be in the 56% to 57% range. AimBank integration and conversion costs are expected to be 2 million to 2.5 million in Q1 2021. And we believe a 22% tax rate is a reasonable full year run rate, assuming no tax law changes from the new administration in DC. Lastly, we expect our TCE ratio to climb back above 8%, as we get about 20 to 30 basis points of increase per quarter. However, the new round of PPP loans may weigh on the ratio during the first half of 2021. With that, I'll turn the call back over to Bruce.
Bruce Lee: Thank you, Bryan. Valerie, let's open up the lines for questions now.
Operator: Thank you. [Operator Instructions]. Our first question comes from Jeff Rulis of D.A. Davidson. Your line is open.
Jeff Rulis: Thanks. Good afternoon.
Bruce Lee: Hi, Jeff.
Bryan McKeag: Hi, Jeff.
Jeff Rulis: A question just on the non-accrual, NPAs in general. If you could just kind of break out what the increase in non-accrual and OREO linked quarter what was legacy, what was acquired?
Bruce Lee: Nathan, you want to answer that first and then Bryan maybe follow up.
Nathan Jones: Yes, absolutely. Largely looking at the non-accruals, it was actually if we look at it from an NPL standpoint, we actually had a reduction from a legacy Heartland perspective of almost $4.5 million. So when you actually take them together, what we really saw was the overall increase that you're seeing today, which is a little bit closer to just north of 7. So really, it's a positive story overall as we continue to work with our customers, especially given some of the headwinds we’re all facing today. As Bruce said, we're very optimistic or cautiously optimistic about the credit performance and continue to remain so as we look forward. Bryan, would you like to add some additional clarity on to some of those numbers as well?
Bryan McKeag: No, I think you got them pretty close. I would just say there's a table on page, at least 17 on my printout of our press release tables that can help you out, Jeff. But basically it shows that our non-performers went up about $9 million and we acquired almost 13 million in our acquisitions. So that's what Nathan was saying. Had we not had the acquisition, our non-performers would have actually gone down.
Jeff Rulis: Great. Just hadn't had time to look at the table. Thanks. Maybe just an overview on capital then, saw the dividend increase. You've got these deals working. I guess and I got your comments on TCE probably looking to preserve that in the short run. But just thoughts on, I heard about the M&A pipeline, but [indiscernible] what do we look for in '21 in all types of capital from M&A I guess you should be set on dividend, any thoughts on buyback? Thanks.
Bruce Lee: Bryan, you want to kind of walk through that, explain how we plan to build the capital back up through earnings?
Bryan McKeag: Yes. I think, Jeff, you had it pretty much right. We’ll grow back up, as I said, through 8.5% just with earnings projected for next year in the balance sheet growth that we have projected. Now that excludes any acquisitions. And with acquisitions, we typically -- we'll issue stock as part of that. So, I think you might see in the first half of the year, things will be a little bit tighter, especially if we do this next round of PPP. So our TCE could stay relatively flat and then really kind of move up in the last half of the year. Earnings -- our payout ratio right now at $0.22 per share is right around 20% of earnings, give or take a little bit. So, we'll see how earnings go as to whether we could increase that some more. We'll see how M&A goes to see how we need to utilize that capital. And right now, we don't see any share buybacks in the near horizon, but we'll see how things progress.
Jeff Rulis: Okay. And one last one for you, Bryan, while I got you. I didn't hear a total non-interest income. I think you piecemealed it, but is there a run rate with kind of all-in acquired loans which you’re looking for in the first quarter of the non-interest income?
Bryan McKeag: Yes. I think – I’ll just shuffle a piece of paper here. If you kind of look at the course, so if you back out the gains and losses, I think the core is about 30 million which really is about the same as what it was reported before. So we've been running about 30 million of non-interest income. Two more months of Aim and Johnson should add about 2 million, but probably see a little bit of seasonality. So I'd probably say -- in the first quarter, I would say probably be somewhere in that 31 million to 32 million. And then you'd probably come up with some seasonality and better mortgage fees coming through, probably up to 32 or 33 as you go across the mid quarters back down to 30 or something like that.
Jeff Rulis: Okay, that’s helpful. And you said mortgage for the full year down 15% year-over-year, but just try to bake in that seasonality.
Bryan McKeag: Yes. I would say kind of last year and kind of maybe drop them all above that 15, you’d probably get about the right seasonality.
Jeff Rulis: Great. I’ll step back. Thank you.
Operator: Thank you. Our next question comes from Andrew Liesch of Piper Sandler. Your line is open.
Andrew Liesch: Hi, everyone. Good afternoon.
Bruce Lee: Hi, Andrew.
Andrew Liesch: I just want to touch base on the loan growth forecasts. I know in recent years growing organically has been a little bit challenging. Some of that's been by design though. What gives you confidence, what are your borrowers telling you right now that give you confidence that you will hit mid single digit growth this year?
Bruce Lee: Yes, I'll take that one. This is Bruce. Our pipelines are reflecting that there's significantly increased activity. We did get organic growth in the fourth quarter in the commercial portfolio. We also are running and focusing on the consumer portfolio. So we don't think that we're going to run into those headwinds. And our applications during the first quarter would reflect organic growth in the consumer portfolio. So we think between what we have in our pipelines and quite frankly in the last six months, we've hired new commercial leaders in four of our 11 markets, and that is also boosting some of the pipeline activity. So between additions of talent for getting away from or learning to call in the COVID world, our pipelines are filling up.
Andrew Liesch: Got it. That’s good to hear. Bryan, just on your margin outlook, what does that assume for I guess liquidity there? That can be such a wildcard and a driver of it. I guess what's the right average earning asset types we're using? What are you guys seeing for deposit flows? And how large of a balance sheet we should be looking at?
Bryan McKeag: Yes, I think the balance sheet will go up a little bit. But remember, there's PPP in there that will be paying off and then some will come back on. So it's really, I would say, a slightly growing budget here real quick, but I think we're up for net of -- I would say we're going to probably be up 200,000, 300,000, just 100 million just on overall assets. But again, there's going to be lots of churning, right, because we've got flow coming off of the investment portfolio that we'd like to turn into loans, rather than just grow the balance sheet. So I don't know that you're going to have a hugely larger balance sheet than we have today, but hopefully a better mix of earning assets to kind of help [deploy][ph] the NIM.
Andrew Liesch: Got it. Okay, that's helpful. I'll step back. Thanks.
Operator: Thank you. Our next question comes from Terry McEvoy of Stephens. Your line is open.
Terry McEvoy: Good evening, everyone.
Bruce Lee: Hi, Terry.
Bryan McKeag: Hi, Terry.
Terry McEvoy: If I just look at Heartland’s stock, it's up 50% almost exactly since the end of September. And my question is, what are pricing expectations for banks that are $1 billion to $3 billion of assets that kind of fit that criteria? Have pricing expectations kind of corresponded with publicly traded bank stocks?
Bruce Lee: Terry, I would say they have moved up. It was pretty tough going there when we were at our lows. But I do believe people are starting to say, if you're trading at X times earnings and X times tangible book, then can't we expect something in that range or better?
Terry McEvoy: Thank you. And, Bryan, just want to clarify. The margin guidance of 350, that incorporates the remaining PPP fees from round one as well as a step up in anticipated accretion from the deals that closed in the fourth quarter?
Bryan McKeag: Correct. Yes. It wouldn't have any PPP too, because I'm not sure what that is yet. So that's correct.
Terry McEvoy: Okay. And then just last question here. In the press release that your charge-offs could be elevated given that they were just 1 basis point here in the fourth quarter. Any thoughts on charge-offs? I know, Bryan, you talked about the provisions, but the elevated I don't want to say it scared me, but it caught my eye as I read the release.
Bruce Lee: Nathan, you want to comment on that?
Nathan Jones: Yes. As we continue to work with our customers and really look at the cycle of kind of what's coming, we do realize and certainly our allowance has been elevated to account for that. We've maintained a very conservative approach. But I don't know if the word elevate is probably being used in the right term here. We're really just looking at it from a perspective of where it has been. And just looking at over the next year and thinking it's probably going to stay more in that range. I think the guidance Bryan gave earlier was really around at $35 million. So seeing it elevated from this last quarter I think again next year, I think it's appropriate to probably look as that range. Bryan, is there anything you'd like to add as far as additional color there as far as what you gave as far as guidance?
Bryan McKeag: Yes. I think what I probably would say, Terry, is we had I think 32 basis points for the full year this year, but it was real choppy. I think you're going to continue to see choppiness. And hopefully, it will be better but you could see it pop up into that range again. A lot of that though I think if we've done our -- if we've done our reserving correctly under CECL, we have a lot of that already reserved for and how we've already got some economic components in there. We've been picking up the downgrades as those have been happening. So if those do end up in charge-offs, we've been increasing the reserve as we go. So we could see some elevated. I think it's hard to say that they wouldn't go up given that we're not out of the pandemic yet and we only had the 1 basis point this last quarter.
Bruce Lee: And, Terry, how I would maybe frame it, it's going to be elevated from historical levels in that sort of 10 basis point range. Clearly, 1 basis point was outstanding and we're very pleased with that in the fourth quarter. But we think it's going to be elevated from historical levels, probably a lot closer to the 30 to 35 basis points for the year going forward if we had to give you specific guidance.
Terry McEvoy: Great. I appreciate that. Thank you.
Bryan McKeag: I think the key there, Terry, is that we've already provided for it. So even though we have the net charge-offs that are a bit elevated over historic levels, we're not going to have to be providing for it. It's already in the reserves.
Terry McEvoy: Thanks.
Operator: Thank you. [Operator Instructions]. We have a question from Damon DelMonte of KBW. Your line is open.
Damon DelMonte: Hi. Good afternoon, guys. Hope everybody's doing well these days. A lot of my questions have been asked and answered. But just maybe broadly speaking on the outlook for M&A, do you feel like the dialogue with potential targets has been increasing? And is it reasonable to expect one or maybe two deals that could be announced here in 2021?
Bruce Lee: Yes, Damon, I would think that you could expect maybe two deals announced that we would only have the Aim conversion, which is going to take place mid February, and then we'd probably -- anything else would be converted in the third quarter. We might have two announcements, but we'd probably push out the next announcement into the first quarter of 2022. We have a number of Tier 1, Tier 2 projects that we need to get done. So I would expect only two conversions this year. The AimBank conversion and maybe one additional one, but you may hear about another opportunity announced. There’s still a pretty active group of prospects that we're working with right now. So, you never know if you're going to get them or not. But there are some active opportunities that we're working on right now. And some of them have advanced in time. One very nice acquisition we thought would be maybe coming around in the second half of this year, and it seems to be advancing into the first half of this year now.
Damon DelMonte: Got it. And with respect to geographic focus, is one area of the footprint more attractive these days and present better opportunities than others?
Bruce Lee: Well, we actually have relationships across all of our markets as well as new markets. But as I've said in the past, we really are focused on in-market transactions. They provide greater synergies and they give us more market dominance in the markets we're in. So the one we're working on right now is Midwest and the other one that I was talking about or other two would be out West.
Damon DelMonte: Great. Very helpful. Thank you very much.
Operator: Thank you. [Operator Instructions]. I’m showing no further questions at this time. I will turn the call back over to Mr. Lee for his closing remarks.
Bruce Lee: Thank you, Valerie. In closing, Hartland is well positioned for growth. It has strong momentum. We begin 2021 with a balance sheet that grew 4.7 billion in the previous year. Net interest margin is in the 3.5% range thanks to our disciplined deposit pricing. Our credit profile is stable. We've consistently lowered our credit costs to deliver our products and services. We expect ongoing benefits from Operation Customer Compass. We continue to invest in technology and improve our processes to enhance the customer experience. We continue to invest in talent that will drive growth and recently added new commercial leaders at four of our member banks. We will generate mid single digit organic loan growth in 2021. We’ll maintain an efficiency ratio below 57. We expect additional revenue and customer relationships from the second draw of PPP. We anticipate 40.5 million of net income in 2021 from the two acquisitions we closed in December. And we continue to have a deep pipeline of attractive M&A prospects with a number of active opportunities. We're moving forward in 2021. We are stronger, we're more nimble and together, we are Heartland. Thank you for joining us today. Our next quarterly conference call is scheduled for Monday, April 26. Have a great evening.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for participating. You may now disconnect. Have a great day.